Operator: Good morning, and welcome to TETRA Technologies Fourth Quarter and Full Year 2021 Results Conference Call. The speakers for today's call are Brady Murphy, Chief Executive Officer; and Elijio Serrano, Chief Financial Officer [Operator Instructions]. Please note today's event is being recorded.  I will now turn the conference over to Mr. Serrano. Please go ahead.
Elijio Serrano: Thank you, Rocco. Good morning, and thank you for joining TETRA's Fourth Quarter and Full Year 2021 Results Call. I would like to remind you that this conference call may contain statements that are or may be deemed to be forward-looking. These statements are based on certain assumptions and analyses made by TETRA and are based on a number of factors. These statements are subject to a number of risks and uncertainties, many of which are beyond the control of the company. You are cautioned that such statements are not guarantees of future performance, and that actual results may differ materially from those projected in the forward-looking statements. In addition, in the course of the call, we may refer to EBITDA, adjusted EBITDA, adjusted EBITDA gross margins, adjusted free cash flow, net debt, liquidity or other non-GAAP financial measures. Please refer to yesterday's press release on our public Web site for reconciliation of non-GAAP financial measures to the nearest GAAP measure. These reconciliations are not a substitute for financial information prepared in accordance with GAAP and should be considered within the context of our complete financial results for the period. In addition to our press release announcement that went out yesterday, we encourage you to refer to our 10-K that was filed yesterday. With that, I'll turn it over to Brady.
Brady Murphy: Thank you, Elijio. Good morning, everyone, and welcome to TETRA's Fourth Quarter and Full Year 2021 Earnings Call. I will summarize some highlights for the fourth quarter and current outlook and then provide an update on our low carbon energy initiatives before turning it back over to Elijio to discuss cash flow, the balance sheet and liquidity. Let me start by thanking all of our TETRA employees for delivering strong fourth quarter operating results and a solid year given the number of extraordinary headwinds we faced, including a second year of COVID-19 pandemic, unprecedented inflation, a record-breaking first quarter freeze and a devastating third quarter hurricane. Despite all of this, we finished another year of positive cash flow, 13% adjusted EBITDA margins and strong momentum in the fourth quarter with the best quarterly operating results, not including the mark-to-market gains from Standard Lithium and CSI Compressco in the last seven quarters and since the start of the pandemic. For the year 2021, we delivered $50 million of adjusted EBITDA on $388 million in revenue. With the pandemic largely behind us, in the past two years, we were able to achieve positive free cash flow, significantly reduced total debt outstanding and improved adjusted EBITDA margins to nearly 13% despite an average 32% revenue drop from 2019 and before the impact of COVID-19. This again shows the resiliency and strength of our business model in the last -- in the severest of downturns. But as importantly, coming out of the downturn from the prior two years, we are a stronger company with a much improved balance sheet, well positioned for a recovering oil and gas industry and the opportunity to execute on a high-growth energy transition market. Revenue for the fourth quarter of $113 million grew 19% sequentially and 50% year-on-year. We generated over $13 million of adjusted EBITDA in the fourth quarter in the face of continued inflation and global logistics challenges. Excluding the realized and unrealized mark-to-market adjustments for Standard Lithium and CSI Compressco, this was the highest adjusted EBITDA since the pre-pandemic first quarter of 2020. We generated $7.4 million of free cash flow in the fourth quarter and again reduced our term loan this time by $13 million for a total of $68.5 million over the past two years. Water & Flowback has seen a significant recovery from the negative impacts of COVID-19 as fourth quarter revenue of $53 million increased 14% sequentially and 70% from the fourth quarter of 2020. Fourth quarter revenue was down only 7% from the pre-pandemic first quarter of 2020. This compares to the US rig count and active frac fleet count, down 29% and 36% sequentially -- respectively, from the same period. Overcoming inflation, we were able to improve our adjusted EBITDA margins by 200 basis points from the third quarter. And the 12.9% adjusted EBITDA for the quarter was the best since the third quarter of 2019, again, on much lower activity levels. These results comparing to pre-pandemic numbers reflect the strength of our business through market share gains, ongoing pricing improvements, efficiency through our automation technology, a strategy focused on treatment and recycling of produced water, leading proprietary technology such as Sandstorm and TETRA Steel and another record quarter with 62 integrated water management projects. Regarding Sandstorms, we gained 24 new customers in 2021, 11 of which were gained in the fourth quarter. Argentina continues to be a bright spot as the most active unconventional share market outside of the US. In addition to our current fully deployed Sandstorms in Argentina, we were awarded two significant early production facilities that will positively impact us beginning in the second quarter of 2022, and which will also include additional Sandstorms as part of those facilities. In addition to the significant increased interest in produced water recycling for frac reuse, in part due to the increased seismic activity in key disposal areas, we are also seeing a new area of interest from both the operators and the midstream companies for extracting key minerals from produced water. TETRA's core competency and aqueous chemistry and experience with extracting and manufacturing products from such minerals is a good fit with this growing opportunity. Overall, I'm pleased with the continued improvement in our Water & Flowback Services business. And our performance demonstrates we are a much stronger business heading into a recovery market in 2022. I'm optimistic we will surpass our next level adjusted EBITDA margin target of 15% earlier in 2022 than we previously anticipated. Completion Fluids & Products fourth quarter revenue increased 23% sequentially and 36% year-over-year as we saw a strong demand from our previously mentioned Gulf of Mexico and international deepwater awards on top of the recovery from the hurricanes in the Gulf of Mexico. Our Eastern Hemisphere energy services revenue more than doubled from Q3 and we believe is indicative of improved international market activity going forward. Although Q4 had mild weather for our seasonal calcium chloride sales, January and February weather has changed dramatically in our favor and will contribute to even stronger revenue for the first quarter of 2022. Excluding the benefit of the realized mark-to-market gains, Completion Fluids & Products adjusted EBITDA increased 14% sequentially with 20.4% EBITDA margins. This represents the 11th straight quarter of adjusted EBITDA margins of over 20% despite double-digit inflation across most of our raw materials, energy prices for the plants and global logistics. As we look towards the first quarter of 2022, we expect further double-digit over the fourth quarter from a recovering -- double-digit growth over the fourth quarter from a recovering oil and gas market and strong chemical sales, supported by a five-year distribution agreement with a new industrial chemicals customer for the Western U S and a ramp-up of our PureFlow zinc bromide sales for energy storage. We secured our first-generation one CS Neptune job for the North Sea, which is scheduled for completion in the second quarter. As a reminder, the typical CS Neptune job in the North Sea will be considerably smaller than what we have historically seen in the Gulf of Mexico, but it is an indication of continued acceptance of our technologies outside of the Gulf of Mexico. The previously mentioned plant investment in Northern Europe for a 25% increase in calcium chloride production capacity continues to be on track for completion in the third quarter of 2022. For the full year and beyond, deepwater is showing signs of recovery as well. And given the new outlook on much lower US shale growth production compared to the years from 2014 to 2019, we believe deepwater activity will be key to support oil and gas demand for years to come. Considering that the 2021 global active drillship rig count was 58% below the 2014 to 2015 peak, there is considerable deepwater growth potential at current oil and gas prices. In a review of our CS Neptune pipeline in the pre-pandemic period of Q1 2020, we found that nearly every CS Neptune project we have been tracking at that time is still in our pipeline. But in nearly every case, the pandemic has dramatically slowed or even paused the projects from moving forward. That now seems to be changing as the customer dialogue on these key projects is active again. This is supported by the fact that the first 20,000 PSI-rated ultra-deepwater drillship is scheduled for a Gulf of Mexico project later this year followed by the second drillship for an additional project in early 2023. Other than the North Sea jobs scheduled for the second quarter that I mentioned previously, we do not yet have additional wells confirmed for this year. But the project pipeline and the customer discussions are encouraging compared to the past two years. We do expect that the continued supply chain challenges to have some impact on the timing of customer deepwater projects as well. In the meantime, we continue to strengthen our IP position for CS Neptune with over 13 patents granted and 10 patents allowed. Our low carbon energy business initiatives continue to progress at a rapid pace. On December 16, 2021, we announced our long-term partnership with Eos Energy, a leading US provider of safe, scalable, efficient and sustainable zinc-based long-duration energy storage systems. This partnership aligns well with our strategy to utilize our aqueous chemistry core competency and US manufacturing capabilities to enable the supply chain for low-carbon energy solutions. TETRA's supplying Eos with our high-purity zinc bromide PureFlow to support the manufacturing of Eos' innovative zinc -- aqueous zinc battery. From the recent Eos Q4 earnings call, they will be increasing their revenues from $5 million in 2021 to $50 million in 2022 with a backlog of $148 million booked orders. They also increased their opportunity pipeline from $3.7 billion at the end of the third quarter to $4.1 billion or 25 gigawatt hours of energy storage. To put this in perspective, 25 gigawatt hours of energy storage translated into PureFlow volumes would equal more than 20% of the current annual production of bromine globally for all industries. For this reason, along with our ability to recycle the end-of-life electrolyte, a collaborative long-term strategic relationship is important for both parties, which brings us to our Arkansas brine leases and plans. We're currently drilling an exploratory well on our Arkansas leases in the area where TETRA retains 100% of the lithium and bromine rights. We expect this well to be completed this month and expect the information and data gain will satisfy requirements necessary for an inferred resources report in the second quarter for our current exploration target of 2.54 million to 8.58 million tons of bromine and exploration target of 85,000 to 286,000 tons of lithium carbonate equivalent. From these results, we expect to initiate a preliminary economic assessment, or PEA, to produce lithium carbonate and elemental bromine from our acreage. In December of 2021, we invested $5 million and signed a joint intellectual property agreement with CarbonFree, a CO2 capture and mineralization technology company, for CO2-free calcium fluoride production solution to enable CarbonFree SkyCycle CO2 capture technology. This will allow us to participate in the equity upside as CarbonFree continues to make progress in commercializing its SkyCycle proprietary technology. And we continue to advance our long-term business relationship, jointly working on plans to source and provide substantial volumes of calcium chloride. CarbonFree successfully mineralized CO2 in its San Antonio SkyCycle pilot plant. This process requires large volumes of calcium chloride as a key part of the conversion chemistry. And TETRA will bring its global leadership in the production of calcium chloride, supply chain network and technical expertise to the partnership. With that, I'll turn it over to Elijio to provide some additional color, and we'll close with some comments and then open for some questions.
Elijio Serrano: Thank you, Brady. Fourth quarter adjusted earnings per share were breakeven compared to a $0.03 loss per share in the fourth quarter of 2020. Loss from continuing operations was $703,000, a significant improvement from the loss of $7.1 million in the fourth quarter of last year. During the fourth quarter, we sold the shares that we own in Standard Lithium, which resulted in a realized gain of $4.6 million in the fourth quarter that was included in our adjusted EBITDA. The fourth quarter also included a $3.2 million unrealized mark-to-market loss on the common units that we own in CSI Compressco. The net of the two is a benefit to adjusted EBITDA of $1.4 million in the fourth quarter. As you recall, in the third quarter, the unrealized mark-to-market gains reflected in adjusted EBITDA was $6.2 million from both Standard Lithium and CSI Compressco. As a reminder, we still own slightly over 5.2 million common units for CSI Compressco with a current value of $7.3 million, and we have no restrictions on our ability to monetize this asset. We excluded from fourth quarter results unusual items that totaled $891,000 in nonrecurring expenses net of nonrecurring income. Fourth quarter adjusted free cash flow from continuing operations was $7.4 million despite a $12 million sequential increase in accounts receivable on the back of the 19% sequential fourth quarter increase in revenue. Fourth quarter free cash flow benefited from the $17.6 million in proceeds from the sale of the 1.6 million shares of Standard Lithium that we announced in the 8-K filing earlier in the quarter. In that 8-K filing, we had mentioned that we had monetized 1.5 million shares. And shortly after the 8-K was issued, we sold the other 100,000 shares that we own. In total, we sold 1.6 million shares at an average price at $11.02 compared to the Standard Lithium share price today of $6.50. We expect to be receiving another 400,000 shares of Standard Lithium before the end of April as part of an option agreement that we have with Standard Lithium. These 400,000 shares will be in addition to $1 million of cash that we received at the end of December. At $6.50 per share, the value of the shares to be received from Standard Lithium are approximately $2.6 million on top of the cash that we received in December. Adjusted free cash flow for the year was $9.3 million, reflecting the proceeds of the sale of the shares of Standard Lithium. Working capital at the end of December was $81.7 million, a change of $6.9 million from year-end 2020. As you recall from 2020 when business slows down, we can generate significant free cash flow as we monetize working capital when the markets pull back. And as Brady mentioned, we invested $5 million in CarbonFree in the form of a convertible note that will enable us to participate in the equity upside as they commercialize their SkyCycle carbon capture technology. And if CarbonFree goes public, our $5 million investment converts into common stock. Total debt outstanding was $152 million at the end of December, down from a high of $222 million in the third quarter of 2019, while net debt at the end of the year was $120 million. We have reduced our term loan by $13 million in the fourth quarter primarily using the proceeds from the sale of our shares in Standard Lithium, consistent with what we previously communicated. The 26% reduction in the term loan has reduced our annual interest expense by at least $4 million a year. As a result of the improved EBITDA, proceeds from the sale of Standard Lithium and the reduction in the term loan, we have improved our net debt ratio to 2.7x, which is the lowest since the third quarter of 2020. We have less than $1 million outstanding as of the end of February on our $80 million asset-based revolver. Liquidity at the end of the fourth quarter was $68 million. At the end of the fourth quarter, unrestricted cash was [$32 million], and availability under our credit facility was [$36 million]. We have been aggressively paying down debt to create borrowing capacity as we move towards bringing to market our Arkansas Smackover Formation bromine and lithium assets or potentially invest in calcium chloride production facilities to support CarbonFree. Also in preparation to expand into the low carbon energy initiatives and to source the most cost [Technical Difficulty] capital, we have been having discussions with the Department of Energy, exploring opportunities for grants and low-cost loans. To date, we have had three very promising virtual meetings with different individuals and departments within the Department of Energy. We are taking the steps to apply for various loans and grants to help us advance some of the lithium battery storage with PureFlow and carbon capture initiatives that we have been discussing. This year, we will spend between $2.5 million and $3 million to drill the [Technical Difficulty] well that Brady mentioned and to conduct studies to further refine our exploratory target assets to more tightly define inferred resources for bromine and lithium assets in Arkansas. We then expect to complete the preliminary economic assessment that will further define the investments required and the related returns on capital as we move towards developing our bromine and lithium assets in Arkansas. This PEA will help us quantify the potential revenue, EBITDA, cash flow and CapEx from our assets in Arkansas. We will publicly announce the results of the incurred resources target and the PEA when they are complete. Finally, we reached agreement with our insurance underwriters for a claim on one of our Gulf of Mexico properties that sustained that hurricane damage last year. As a result, we expect to receive cash proceeds of $3.75 million in March of this year that will further improve our liquidity and cash position. We encourage everyone to read our news release that we issued yesterday and the 10-K that we filed last night with all the supporting details and additional financial and operational metrics. With that, let me turn it over to Brady for closing comments.
Brady Murphy: Thank you, Elijio. So in closing, overall, despite the challenges that we discussed earlier, we had a strong quarter. But more importantly, we are a much stronger and more diversified company than we were a few years ago. Both of our business segments are approaching pre-pandemic financial metrics well ahead of pre-pandemic activity levels. We're very well positioned for improved results from improving US and Argentina on conventional shale markets, and improving outlook on deepwater activity and rapidly growing markets for lithium, [Technical Difficulty] energy storage and carbon capture supported with what we believe is our strongest balance sheet since 2012. In just one year since announcing our low carbon energy initiatives, we're generating profitable results with minimal additional capital investment. And we expect these emerging business will grow significantly over the coming years. So with that, we'll open it to questions. Thank you.
Operator: [Operator Instructions] And today's first question comes from Stephen Gengaro with Stifel.
Stephen Gengaro: Just sort of -- I just wanted to start with the arrangement you have with Eos. And when you think about -- and maybe not '22, but in '23, I think people expect them to do about $200 million in revenue as an entity based on the consensus for Eos. Is that -- I mean, are we thinking about it right if we think that translates to $30 million or $40 million in revenue for you guys? Like I'm trying to correlate the two, and I was curious if you could give us some color. I imagine your product has to be a pretty big input cost to what they're doing.
Elijio Serrano: And we clearly don't want to comment on what Eos' consensus or revenue expectations are. But we clearly believe that if they increase proportionate in the coming years that our increase in the sale of PureFlow will be proportionate to the increase in revenue. So if they're going from $5 million this year to, call it, $50 million for the sake of argument, we expect that we're going to increase by the same magnitude. Now they also have not divulged to us and we're not privy to what percent of PureFlow represents as a percent of the cost of goods sold or as a percent of revenue, but we think we are a meaningful part of that number.
Stephen Gengaro: And then two others. One is, and you touched on this a little bit in the opening remarks. Your fluids business had a $10 million sequential increase in revenues, and the margins slipped a bit. I think adjusted margins went down about 200 basis points so like [Technical Difficulty] on the EBITDA line. And I think it's raw materials, but can you just talk about how you think that shakes out going forward? And how are you doing recovering those higher costs with pricing?
Brady Murphy: So we did see a small drop in the margin on our completions in the fourth quarter, and that was nearly all inflation-related, Stephen. Energy costs, raw materials cost and global logistics, kind of all in the double-digit range. And it got a little bit ahead of us in terms of being able to get our pricing improvements out. I would say in the fourth quarter, inflation was out ahead of us in terms of getting our pricing increases with our customers. I think as we go into Q1, assuming inflation doesn't continue to grow at least flattens out somewhat, we were getting ahead on the pricing side. So we do expect our margins to improve as we go from Q4 to Q1. And then we'll just have to see how inflation either stabilizes or starts going down, hopefully, in the second half of the year and how that plays out.
Elijio Serrano: And Brady, I'll also add and remind everybody that the second quarter is our peak for Northern Europe calcium chloride sales. And historically, we've seen about a $15 million sequential increase Q1 moving to Q2. And the EBITDA impact has historically been in the $4 million range, and we don't see any shift in that seasonal pattern this year. So we've got a couple of good quarters, we think, coming up to demonstrate sequential improvements.
Stephen Gengaro: And Elijio, just you said about $14 million, $15 million in revenue or EBITDA?
Elijio Serrano: That's correct. That's what we have seen historically with the ramp-up.
Stephen Gengaro: And then just one final one. The water business has had a very good third quarter. Should we just think about that as kind of -- obviously, you have some international stuff but kind of mimicking what's going on in the US land side? And you should -- I would imagine your incremental EBITDA margins there should be 25%, 30% range as we go through '22 if you continue to see growth there?
Elijio Serrano: We're gaining traction with pricing. We're gaining traction with the Sandstorm technology. We're seeing a ramp-up of Sandstorms also in Latin America that Brady mentioned. All three, we think, are going to contribute to the goal that we set out and we communicated in the press release of 15% margin for this business this year.
Stephen Gengaro: And just a clarification. Did you say double-digit fluids growth in the first quarter sequentially?
Brady Murphy: Yes, over Q4. And then as Elijio said, the second quarter, we'll see our European revenue ramp up from the numbers that Elijio discussed, $15 million.
Operator: And our next question today comes from Samantha Hoh with Evercore ISI.
Samantha Hoh: Question about the CapEx plan. But I think a lot of CapEx last year went towards growing the water business. And with the expanded Argentina contract, we have awards for the two early production studies, I'm just kind of wondering how much you're [Technical Difficulty] CapEx to really growing your capacity in the larger space again?
Elijio Serrano: The majority of our additions on the water management and flowback are either Sandstorm-related or related around the EPS because we announced that we secured two significant EPS in South America. And they have historically been very profitable for us in the past. And everything else that we're doing in North America is targeting payback of 18 months or better. So we believe that we do have some capacity expansion coming up in North America with paybacks at 18 months or less.
Samantha Hoh: Any sense of what your market share is in North America for lithium [Technical Difficulty]?
Brady Murphy: Just to clarify, were you asking market share just on Sandstorm or overall Water & Flowback?
Samantha Hoh: Both if you have that…
Brady Murphy: So we are gaining traction continuously with Sandstorm. Sandstorm is replacing a lot of traditional production testing assets that there's a fairly significant amount of traditional PT assets in North America. And Sandstorm is continuing to encroach on that. I would say we're probably still below 10% of the overall combined production testing and sand management or Sandstorm market share. But we're growing rapidly as we indicated in 2021 and even in the fourth quarter when we picked up 11 new customers. And we're also now penetrating the Haynesville with our 15,000 units. So we expect that market share traction to continue and also a strong position in Argentina. Overall, Water & Flowback, our strongest market share is in the Permian Basin, where we believe we have a very strong market share 1 or 2 depending on which day in terms of the number of crews that we are following, frac crews that we are following. And then it varies from that around the basins in North America, but certainly a number two position in overall across North America.
Elijio Serrano: And Samantha, I would also add that in the trips that Brady and I and Matt have made to the field, we have seen our organization make nice inroads with the private companies, the private oil and gas operators and picking up quite a bit of market share in that sector at good margins, given the capital discipline on the publicly traded oil and gas operators. That has also contributed to our growth in revenue and margins.
Brady Murphy: And just to further clarify, Samantha, we don't participate in the infrastructure side of water, whether it's sourcing freshwater or it is pipeline disposals type assets. But on the pure services, where we have our integrated water management surface, that's where we believe we have our strongest market share position. And as I said, either 1 or 2 in the Permian Basin just depending on the current frac count follow-ups that we have.
Samantha Hoh: And I was wondering [Technical Difficulty] your comments around extracting [Technical Difficulty] from produced water. That's kind of the first I heard of anything like that being explored. Could you maybe give a little bit more details in terms of what is going on in that arena?
Brady Murphy: As you know, the US is looking to have a security supply of key minerals, particularly those that enable the energy transition. So lithium obviously is -- would be at the top of the list. But there are other key minerals that are in produced water, and some of them at commercial levels, some of it not at commercial levers. We've been really pleased with the engagement that we've had with multiple operators as well as midstream companies to analyze their produced water and to determine the commerciality of the minerals that are in these produced waters, some of them we're very encouraged with. They're very encouraged with. Others not so much, but I think it's a growing trend that you're going to see a new market evolve out of the produced waters that are being produced.
Samantha Hoh: So you'll be able to apply your equipment on surface and actually extract the [Technical Difficulty]…
Brady Murphy: Correct. We have great expertise in that area, Samantha.
Samantha Hoh: The other thing that is [Technical Difficulty] on the CS Neptune sales into the North Sea and 2Q. I was curious if you guys are having dialogues for the North Sea into 2023, given that demand is expected to really [Technical Difficulty] in that region next year. Just kind of wondering what sort of advanced outlook and discussions you guys are having with the customer base at this stage.
Brady Murphy: The Neptune market, I'll separate into two different views on that. The Gulf of Mexico are more longer-term, multi-well, very deepwater, ultra high-pressure projects. And those have a long time horizon, but they also have a very significant dollar financial impact to TETRA if we're successful. The North Sea-type projects are more mature and are more spot-type opportunities. There are some that are specific development projects, but they're really more opportunistic opportunities, where customers run into pressures that fit the Neptune profile. So I would consider them somewhat different markets, more of a call-out opportunity market in the North Sea with some major projects, but Gulf of Mexico is a very different outlook from that.
Samantha Hoh: And are you able to source Neptune? I mean, do you have to move that from your production in the Gulf or can you supply to market from closer facilities?
Brady Murphy: Well, we produce our Neptune product at our West Memphis facility in Arkansas. We can do some lending to weight up or lower the weight of Neptune in the North Sea in Aberdeen or other offshore bases that we have around the world. But the core production product comes out of Arkansas, from our West Memphis facility.
Operator: Our next question today is a follow-up from Stephen Gengaro with Stifel.
Stephen Gengaro: Two things. I just wanted to -- I was just sort of thinking about the pace of your earnings throughout the year. But it sounds like the Completion Fluids side, given the seasonality in Europe and given the CS Neptune job you mentioned, am I thinking about it correctly? I mean, you could see a very steep rise in 2Q EBITDA in fluids just off those two pieces?
Elijio Serrano: Yes.
Stephen Gengaro: And I know you probably don't want to specifically comment on this, but it seems like the consensus for the year is, give or take, $80 million in EBITDA. I know there are some puts and takes that are going on with costs, et cetera. But do you think that's in the ballpark?
Elijio Serrano: Let me answer it this way, Stephen. I think the oilfield services group as a whole has moved away from consensus. We have learned over the last five, six years that there's so many moving parts beyond our control that trying to forecast that far into the future is not beneficial. If you lay out for us the recovery from the coronavirus, the recovery of the global economics, what's going to happen with the war in Ukraine and whether capital discipline from the buy side on the oil and gas operators, you lay out all those parameters, probably give you a fairly good number for our total year view. What we can say is that our first and second quarters based on what's in front of us and the feedback we're getting with customers is that we're looking at a nice sequential improvement in revenue like we talked about, a very nice step up Q2 over Q1 with good pull-through. Beyond that is pure speculation and I think we will refrain from anything beyond Q2.
Stephen Gengaro: And just one follow-up, though, on the waterfront. Could you just remind us the percentage of that, which is US land just in the ballpark. I was trying to sort of calibrate what US completion activity is doing and how we should think about that pace of revenue on that part of the business.
Elijio Serrano: So the US has been the predominant part of it. But with the Sandstorms that we moved into Argentina plus also the EPS that we're picking up in Argentina, back half of the year, I think those will be a more meaningful part of our business. But today, we're predominantly US and Argentina, with the U.S. being the significant part of it.
Operator: This concludes today's question-and-answer session. I'd like to turn the conference back over to Mr. Murphy for any closing remarks.
Brady Murphy: Thank you, Rocco. This concludes our fourth quarter 2021 earnings call. Thank you very much for your interest and participation. That ends our call.
Operator: Thank you, sir. This concludes today's conference call. We thank you all for your participation. You may now disconnect your lines, and have a wonderful day.